Graham Kerr: Thanks. Good morning, everyone, and thanks for joining us today. On the call with me is our Chief Financial Officer, Sandy Sibenaler; and Chief Operating Officers, Vanessa Torres and Noel Pillay. I'll give a short summary of our financial results and outlook for the first half of FY '25 before taking questions. Firstly, I'd like to talk about safety. In September, we tragically lost our colleague, José Luis Pérez, who was fatally injured in an incident at Cerro Matoso. The investigation into the incident was completed during December, key learnings have been shared across our organization, and improvement actions are underway to prevent a similar incident happening again. We continue to implement our global safety improvement program, and we're determined to achieve a step-change in our safety performance. This includes a significant investment in safety leadership through our LEAD Safely Every Day program. While we have more work to do, this program has supported measurable improvement in safety performance. We've had a strong start to the year off the back of our improved operating performance. To call out some of the highlights in the half, we increased aluminum production by 5%, copper equivalent production increased by 21% at Sierra Gorda, and we maintained production guidance across our operations except for Mozal Aluminium, where we have updated guidance as we continue to mitigate the impacts of civil unrest in Mozambique. As announced yesterday, we have now received primary state and federal environmental approvals to the Worsley mine development project. The project will enable access to new bauxite mining areas that are expected to sustain production to at least FY '36. At GEMCO, we have commenced a phased restart of mining activities, and export sales are expected to progressively increase over the June 2025 quarter, subject to further potential impacts from the wet season. Across the group, we remain focused on driving cost performance with lower operating unit costs of the majority of our guided operations expected in the second half of FY '25. In terms of financial performance, we've delivered a 44% increase in underlying EBITDA to $1 billion and an increase in underlying earnings of $375 million. Cash flow from operations improved by $361 million, despite a build in working capital due to higher commodity prices and the timing of shipments. And we reduced net debt by $715 million to $47 million, consistent with our focus on prioritizing a strong balance sheet through the cycle. As a result of our strong financial position, today, we announced a fully franked interim ordinary dividend of $154 million at $0.034 per share and the continuation of our capital management program with $171 million remaining to be returned to shareholders. Turning to our portfolio, the sale of Illawarra Metallurgical Coal in August 2024 for up to $1.65 billion unlocks significant value and streamlined our portfolio. Building on our previous portfolio improvements, that's also simplified our business, lower sustaining capital intensity and strengthened our balance sheet. We are investing to grow our future production of critical minerals as we construct our large-scale, long-life Tailor zinc-lead-silver project at Hermosa in Arizona, progressed the exploration decline of the Clark battery-grade manganese deposit and continued exploration programs as we unlock value across Hermosa's highly prospective regional land package with recent drilling at the Peake deposit returning further high-grade copper results. In closing, our operations are performing well, our balance sheet is strong and an unwind of working capital is expected to add cash generation in H2 FY '25. We have an established growth pipeline that can underpin significant growth in zinc and copper, and our unchanged capital management framework is designed to reward shareholders as our financial performance improves. Thank you. I'll now hand back to the operator.
Operator: [Operator Instructions] Your first question comes from Paul Young from Goldman Sachs.
Paul Young : Great to have a positive update on most of the assets. And Graham, good to say that unit costs are falling in the second half. Just on unit cost and maybe just focusing in on Worsley. First of all, I know this is short term, but just the second half cost guidance, it seems -- it does seem conservative, considering that FX is falling and production in theory should actually increase in second half. Just some commentary around why unit costs will be flat half-on-half. And obviously, I know that cost consumption and prices are a little bit elevated. And then on the medium-term cost guidance, so thanks for providing that. What I have seen is that I haven't seen an update on FY '26 production guidance, considering you're heading into that higher-grade areas. So can you maybe just comment on production in FY '26?
Graham Kerr: Yes. Look, first and foremost, Paul, with the approval both from federal and state now, we are actively starting the development of new areas, which I think is an important milestone. And as you're aware, it has been a long process for the team, but I think they've got a really great outcome. Look, when we think about our FY '25 guidance, our unit costs are still hovering around that $305 a tonne for this year, and that's predominantly due to higher bauxite consumption in the current mining areas. We will be opening those new areas, but we don't see the full production in terms of returning back to nameplate capacity to about FY '27. As a consequence, as we sort of think about that unit guidance we're giving for FY '25, we have increased that following the federal approvals by roughly $5 a tonne. So that means the range we're giving for FY '25 to FY '28 is around $[2 75] to $[2 95] a tonne. And again, as we get into FY '27 and get in full production, we'd expect to actually see, if you like, that unit cost come down as production grows. The $5 increase in tonnage is really additional administration costs that come with some of the conditions around monitoring, et cetera, that are in place. I don't know, Sandy, if you want to add anything to that?
Sandy Sibenaler : No, I think that's right, Graham. The caustic consumption is really driven by the quality of the bauxite that we are working through at the moment in the current mining area. Obviously, as we kind of bring that through and get stockpile that, we'll see that benefit in the second -- in the first half of the next financial year.
Paul Young : Yes, it does swings around abouts and it sounds back-end weighted that falling unit cost. So yes. And then, Graham, maybe just talking on manganese and particularly -- in particular, I should say, on Australia, can you provide any color around spend -- outstanding spend on the Wharf? Any commentary on insurance proceeds? Just trying to match up what the cash inflow/outflow or net outflow or inflow is for that asset. And then also back on to the question mark around manganese is it core? And we know Anglo has been public about their, I guess, view on divesting that asset. So I'm just curious around -- it's obviously a hard asset to sell when it's shut down, but your view on actually packaging up the asset on a 100% basis and actually getting involved with Anglo and actually maybe driving that sale process, and maybe any commentary you can provide there?
Graham Kerr: Look, maybe let's start with the strategic question. Manganese is a commodity we actually like. As we think about long-term peak steel, manganese in the process of recycling steel unlike met coal and iron ore, will continue to be added back in. We still think GEMCO, for a variety of reasons around quality, but also moisture levels; is the most, if you like, attractive manganese out there in the marketplace. And GEMCO, because of lower cost proximity of the mine to the processing, processing from the port and the port to the customer; is always going to be well positioned on that cost curve. And I think the work we're doing now in South Africa to unlock, and we've spent some of that money around additional capital loop and rail capacity to sort of take more product off the road long term and get on the rail, sets up that business for success. And particularly as we finished the Northern blocking vessels, and I was actually there last week looking at progress, I think, means that we like that commodity. We particularly like GEMCO and where it sits in the cost curve. But in saying that, everything to sell at the right price is the way I think about it. We like our position today. We are the operator. Anglo has been a very good partner for a period of time and continue to be a good partner, but we operate it, we market 100% of the product. Don't necessarily see why we'd want to buy out Anglo share unless it's at a discount. And from our perspective, if someone else came around and offered us more money than we thought it was worth, we'd consider it like we would for every other asset in the portfolio. But we do believe manganese is on strategy for us an attractive commodity. Look, in terms of what's going on with GEMCO, I'll start with a big call out to the team because the volume of water and the damage done there by Cyclone Megan, as someone who has lived in the northern part of WA and Queensland, never seen anything like what we've seen at GEMCO. If we think about where we are today, some of the key milestones we have achieved, we have resumed production from the primary concentrator. We have completed construction of the haulage road bridges that were absolutely smashed by the cyclone. We've already removed all the undersea structures that existed from the old damaged berth. And to me, that was one of the more challenging components of the rebuild. We continue to dewater the mining pits in preparation for resuming full production. We have installed the piling in new Wharf infrastructure. To put that in perspective, we've got 16 out of the 28 pilings completed as at the 12th of February. We expect to have the first [Dolphin] completed by next week, second [Dolphin] the week after. I think the single biggest risk we still see is weather. As you're aware, Paul, the wet season at GEMCO runs through probably late April. And we've had years where we've had relatively benign, and then we've had years where it's been relatively heavy. It just depends on where we land on that space because particularly on the Wharf, we won't be doing work in conditions that challenge ourselves and the contractor in terms of swell, wind and rain. Look, the way I think about it now, we expect sales to progressively increase over the fourth quarter of FY '25, and we have provided guidance around that, that we expect to probably produce about 1 million tonnes coming out of FY '25, all coming in that last quarter and sell. And we'd expect to get back to about 3.2 million tonnes in FY '26. At the moment, we don't see anything that's going to stop us getting to that position. I think the critical piece for us, again, will be to watch the weather. Now we have got an additional barge up there now in case weather sort of turned a certain direction. But I think at the moment, the teams are working well, some really good progress made on the island. The most challenging piece from a safety perspective, to me, was the removal of the damaged underwater infrastructure, which has all been done and done safely. Now it's just about continuing the piling and watching the weather. Sandy, if you want to add something on the capital spend, and maybe just the insurance, so people are clear about that as well?
Sandy Sibenaler: Sure. So from a capital spend perspective, our guidance is unchanged. We're tracking to plan, as Graham touched on. And so we will update if anything changes on that. But at this point, in line with guidance. In terms of the insurance program, as we've touched on there as well, we have had confirmation as being an insured event. We've recovered now $350 million at the 100% level under the existing policies. So therefore, business interruption insurance and for the capital impact. We are continuing to work with our insurers. We've got a phased approach there. So we -- kind of submitting cost is now incurred. And we do expect to see that progressing through this half with ultimately a settlement hopefully in the calendar year.
Graham Kerr: Paul, does that help?
Paul Young : It sure does.
Graham Kerr: Thank you.
Operator: Your next question comes from Rahul Anand from Morgan Stanley.
Rahul Anand : Look, I have a couple. First one's on Hermosa. That's an easier one, I guess, and then perhaps a second one on Worsley. So first one on Hermosa, I mean, obviously, given the change in government and perhaps early indications of perhaps they're being a bit more constructive in terms of domestic mining, have you had any conversations around that land swap that you need, I guess, in a period of 6 years or after production starts? Any update there would be appreciated. And then I'll come back with a second on Worsley.
Graham Kerr: So maybe just to clarify, we actually don't need a land swap. What it actually is, is probably for the first roughly 6 to 8 years of production, we can actually do all the construction on the operating, including the first stage of tailings on state land, where we actually have all the approvals. What we need a federal approval for is roughly about 6 to 8 years. And I say 6 to 8 years because it depends on the production rate we're going at and the tailings stack, and I think there's more upside than downside on that. We're currently going through what's called the FAST-41 process, and we are the only mining project in the U.S. that's in that FAST-41 process. And we've got put into that process under a Democratic administration, whereas generally, as you're aware, Republicans are more pro-development. That FAST-41 process, for us, is important because it gives clarity for the longer-term investment quickly. To date, that's been tracking well. One of the advantages of the FAST-41 is you do exactly the same amount of work, there's a lot more focus from the federal various agencies on timelines, resource commitments, et cetera. From our perspective, look, that is running really, really well. They're ahead of every deadline they've put in there. From our perspective, we probably -- we want that FAST-41 so we can also do a power connection across some federal land. It's like an easement. We don't necessarily need that from day 1, but it's nice to have. But I think it will just give us a lot more clarity, if you like, on having that full approval probably way before. And we've always said that we would expect that federal approval under FAST-41, we would get within 4-ish years. And we're certainly on track at the moment to exceed that. So that kind of engagement we've had so far, haven't had a lot with -- we've had Pat and Judy, who's our external affairs person in Washington last week, obviously talking about the credentials of the project, but we've still got the funding in place from the DoD and the DoE for Clark. We've still got a lot of support around FAST-41. We expect the draft EIS of FAST-41 to come out in May '25. From our perspective, we continue to progress the on-ground work at Hermosa. The main -- we started sinking the bench shaft already. The main shaft we are about to start in this second half of the year, and we also expect to start the construction of the processing plant after doing a fair bit of the foundational work. Does that help clarify? So we don't need any land swap. We can actually get construction operations actually done before we need the federal approval, but we're in a great position where we're using the FAST-41 to actually close out the federal approval relatively quickly.
Rahul Anand : Yes. No, that's clear because I was just trying to get an update sort of how that process is proceeding, I guess, and you talked about that a bit. And I guess we'll get a bit more news flow as time passes as well when you get a bit more information. Look, maybe I'll circle back to Worsley then. You did answer Paul's question around that extra $5 a tonne and what that's attributable to. But I wanted to perhaps touch upon your forecast of basically getting back to nameplate in FY '27. Obviously, a part of that nameplate return is related to the refinery performance as well. And that's been somewhat variable. So do you think once you've sorted out the mine plan side of things, are there any rectification works going on, on the refinery or any changes that sort of give us a more stable sort of nameplate run rate at about 4.6? And then beyond FY ['36], obviously, you're going to have a significant chunk of measured and indicated resource left as well at the end of that ['36] period. So with this recent approval that you've had, does that open the door for a bit of conversion from that into reserve as well? Or is that going to have to be another mine plan approval as you progress through? I understand it's still about a decade away, but it would be sort of useful to get an understanding of what this approval sort of encapsulates within it.
Graham Kerr: Absolutely, Rahul. Good question. Maybe the simple one first. The additional $5 a tonne is really a result of the additional conditions that have come out of the approvals, both at the state and the federal level. And the way I think about that additional cost, and it really is around administration, additional surveys and monitoring that we need to do, recognizing Worsley is in a unique part of the world. So that's what the $5 a tonne represents. If we talk about refining capacity, the refining capacity of Worsley is about 4.6 million tonnes in 100% terms. The capacity of the refinery, if you recall, on the BHP, there was a project called the expansion project many years before the demerger from BHP. They never actually hit that nameplate capacity, but we did that consistently over the last 3, 4 years until we actually had the bauxite challenge around availability. So I think the biggest issue we're seeing really is on the bauxite feed piece. There were some challenges in '24 around the overlay conveyor, which has actually been fixed, and that's just the aging and a maintenance catch-up around the age. But the refinery has not been the constraint for a number of years. What we do get under the current approval is it allows us to basically get access to 2 areas, to be very clear, around the approval. One is it gives us additional clearing allowance, which enables us to access some of the existing mining areas around Saddleback, Marradong and [Kwidani]. And that's until we get to the first [indiscernible], sorry, pronunciation. And that's probably the key bottleneck in the short term around capacity. We'll get access to those additional mine -- the existing mining areas, but it's not where you're getting to the new higher-grade material. We will get to that in terms of refining that in FY '27, which is when you get back to nameplate capacity. Now clearly, the challenge for the team on that side will be can we go faster or quicker on that? I think the answer, we've got a very consistent plan, which the team will be delivering on. Obviously, getting access to the new mining areas is important to us. That does extend the life of where we'll actually be for a period of time. It will result in conversion from resource to reserve to actually support that. It basically gives us access to a zone for a period of time. But we will have to, after that, go back and get additional approvals for the new area. What I would say is the change this year, there's a lot of lessons that will come out of this, I think, for everyone who operates in the Southwest. In terms of the government, it has obviously gone back, the state government to reform their own EPA process, and that's a public document, so we can talk about that. I think the alignment around some of the critical issues over the last 4 years has been greenhouse gas emissions, and the government has been very clear on that position. So -- and it's also the first time that the new approval process has sort of been utilized. So I think as we think about those next lot of approvals, I would not expect those to be as challenging as what they are today or what we've experienced over the last 5 or 6 years. So I think it's a much more positive outlook for Worsley. As you said, there's a large resource there that we need to work through, but it's a large, long-life, high-quality asset when you think about the grades that it has longer term in terms of not only bauxite grades, but also the reactive silica, et cetera. I don't know, Sandy or maybe Vanessa, anything you would add to that?
Vanessa Torres: No, not much. I think [indiscernible] got to focus to accelerate the implementation of the access to [indiscernible], and that really is the focus right now. And the team is doing very good work on keeping the production we have today with the quality of what we have today. So it's all positive, I think, going forward.
Graham Kerr: And just to be clear, Rahul, it's basically the new approvals we have to take you out to FY ['36], so that certainly gives you plenty of time to work on your next bank of approvals at the same time.
Rahul Anand : Yes. No, absolutely. And given what's happened with a lot of your peers as well, perhaps you've got that one way. And now perhaps, it's better to get started earlier, I guess. But that's all for me.
Operator: Your next question comes from James Redfern from Bank of America.
James Redfern : My first question just relates to the aluminum market, please. The prices have been quite range bound for the last 4 or 5 months at around about [$2,600] a tonne. But you're calling out the declining inventories for aluminum, China's capacity cap being reached 45 million tonnes. And then more recently, we've got the 25% tariffs from the U.S. So I'm just wondering if you could please comment on your outlook for aluminum prices from here.
Graham Kerr: Yes. Look, absolutely. I mean, I guess I would start with if you think about that medium- to long-term fundamental shift, we do believe that 45 million tonne capacity is absolutely what the Chinese policy is adhering to, and it really is about self-sufficiency. Yes, we are seeing a little bit of rejigging about the locations of where refining is done and where smelters are. I think the smelting in China continues to be the main game with some of the refining and bauxite perhaps happening in places like Guinea and Indonesia. But that's what's always underpinned our medium- to long-term price assumption, and that remains unchanged. In the short term, obviously, the cost curve of aluminum has been hit by power movement or fluctuation, particularly in Europe. But also the cost of aluminum has been high, which has put a lot of smelters under pressure. The tariffs obviously are dominating the short-term picture of how people see the market. The reality is I think it's roughly 4 million tonnes goes from Canada into the U.S. So 80% of the U.S. primary aluminum and alloy is imported from Canada. It's probably hard to see that, that product will move to Europe or it's hard to say that, that product will be displaced into the U.S. Our feeling is the 25%, if you like, tariff duty will basically fall ultimately on the end user in the U.S. We would probably expect to see the regional premium reflect that higher value in the U.S. That's probably the biggest change that we see. Clearly, we sell a little bit of our product from Hillside into the U.S. We also obviously have Mozal and Hillside a fair bit of the product going into Europe. But at the moment, the challenge, I guess, with all the tariffs is how long does it last for, how much is it negotiating, and I don't think anyone knows that a good anecdotal piece of evidence. I think every single premier from the relevant provinces in Canada was actually in Washington last week. So to me, it's a negotiation rather than a long-term policy. So we'll continue to watch it. It won't probably shift too much of how we think about the medium to long term. And the reality is, from our perspective, it probably won't impact our product placement too much.
James Redfern : That's. Great. Second question, if I may, just relates to Ambler Metals in Alaska and the high-grade bornite, copper deposit. I know it's long dated, but I'm just wondering if your confidence in the asset potentially being developed has increased since the reelection of President Trump in November? And just how you see the path forward for this asset?
Graham Kerr: look, I think we haven't probably shifted our long-term position. We probably -- when we first acquired the interest, the Trump administration was very proactive about developing Alaska then. Obviously, that materially shifted under the Biden administration. And obviously, Trump, if you look at the conservative 2025 documentation pre the election, talked about one of the first actions opening up Alaska, and they specifically called out the Ambler district. And again, that's been quoted in some of the recent press since he's actually moved back into that presidential role. I think as we think about that project, to your point, it is a long-dated option. There's two areas of interest. There's bornite that's Arctic. Arctic is the VMS-style deposits. Generally, they occur in clusters. We have done a fair bit of work around what potential we see in that region. And we think there are more opportunities via VMS-style deposits. The other thing to note is outside of Arctic and bornite and the exploration potential around Ambler Metals, where we have a 50% joint venture with Trilogy, is we have 100% ownership of the Roosevelt project, which is roughly about halfway down towards the Dalton Highway. And it's essentially -- the key to unlocking that district will be the building of a road, it's about 340 kilometers, which connects the Ambler Metals district or the Ambler district with basically the Dalton Highway for major infrastructure. To me, that's a critical piece. It's very clear that the Trump administration and the Alaskan government, state government are very keen to open up that area. And I'd expect you'll continue to see the push. I think the challenge for us is probably twofold, is we've got more exploration work to be done to understand the potential because we think there is a lot there. It's more about -- you also have a limited season you can get on the ground because of the weather, so you're going to make the most of that. But I think more critical for us is there are a number of First Nations groups and villages along that highway. Probably fair to say under the first administration, they weren't necessarily proactive about opening up that road for various reasons and not all related to the mining piece, more that they don't want a public road going through there, and there's been a history of converting private and public roads in Alaska. There's been a lot of work done by the team over the last 3 or 4 years to work with the relative groups there. And we're pretty close to getting strong support there. I guess we will watch with interest what happens from a government perspective. But to me, the critical piece is sort of within the hearts and souls and minds of the people along that road and sort of share some of the benefits of unlocking the district with them. And to keep that in mind, one of the major groups there is obviously the NANA Group, who works very closely with Teck at Red Dog, and they also have a stake in the Ambler Metals project. So I think I think about it as a good medium- to long-term prospect, but that's the way we think about it with exploration and consultation with the First Nations groups, the most 2 critical pieces on our mind, with the road and the administration being the third one.
Operator: Your next question comes from Mitch Ryan from Jefferies.
Mitch Ryan : Just with regards to Cerro Matoso, I know it's subject to potential divestment in FY '26, is sort of the commentary you've used today. Just can you refresh us on the process and timing that's going on around that asset and how we should be thinking about it going forward?
Graham Kerr: Yes. Look, I think it's a really good question and subject. And obviously, a number of our people work there. And one thing I love about Cerro Matoso, you go there and we have such high-quality people who are very focused on delivery. And they've done a really good job, actually, since we demerged; around finding ways to create value for our shareholders, and they continue to actually do that. I think the challenge for us, obviously, is what's happened in Indonesia around nickel has flown onto the ferronickel market and the absolute nickel price. So it does put an asset under more and more pressure. It's great to see that the team have obviously managed to, this year, continue to be cash flow positive and actually add cash to the group despite some of those challenging external issues. I think the key for me is what's the long-term future of that business in the South32 portfolio. It does have natural grade decline that has been coming for a period of time. But there are a number of options that would allow someone to realize more value out of that business. For example, there is an option we've been testing, where someone could import some ore from close by to sort of like a sugar hit to keep the grade up. There's also the option to ultimately convert a slightly different product like an MHP that would be very useful to the U.S. in terms of they think about some of their independence from China around key battery technology. But there are a number of options around alternative power sources because we predominantly rely on green renewable sources at the moment that are actually quite expensive in Colombia, whereas there are some more cost efficient, if you want to be quite pointed on it around gas and coal that we wouldn't actually pursue. So it's one of those ones where I think potentially, there's more value in someone else's hands than there is in ours. So we are exploring that actively now. We would expect to be in a position by the end of the full year to sort of give people an update on that. But there are a number of interested parties, which has been a real positive. And as you'd expect, we're going through that normal kind of process now. By full-year results, we should have some clarity, with an eye on obviously managing our people there because like I said, it's a great workforce. But also Cerro does some great job in the community here, and a lot of regional people depend on that business as well.
Mitch Ryan : Great. Can you just remind us what value you carry that at within your book?
Graham Kerr: Sandy, can you give an update on the current book value?
Sandy Sibenaler: Yes. So we impaired that in the preceding period. So it's got a fairly modest book value there. I think it's just under $50 million.
Operator: Your next question comes from Lyndon Fagan from JPMorgan.
Lyndon Fagan : First one is just on Brazil aluminum. We're still seeing an EBITDA loss there. Just a bit of color on the ramp-up, and I mean are we seeing full freight of OpEx there, but just not diluting it with full production? Or are we going to see sort of even higher growth costs once production ramps up? I'm just trying to get a better feel for the cost base there.
Graham Kerr: So the way I think about it, it is a volume game there. Where we are today that the H1 production is up by about 28% to 64,000 tonnes as the ramp-up continues. We now have 89% of pots online. And our estimate that we -- or guidance we gave for FY '25 remains unchanged at 130,000. What we do expect to see is you will see the operating unit costs come down as the smelter continues to actually ramp up. The previous guidance we have given there remains unchanged. What we have seen, it has not been -- Alcoa is the operator there, and I'm sure you would have heard Bill talk about their focus on improved performance. We are seeing that on the ground. We haven't seen a change in the ramp-up plan for a period of time in terms of the milestone after milestone, where previously they weren't. It does have the advantages of being 100% renewable power source from a combination of hydro, solar and wind. And that's 2x 10-year contracts that are predominantly U.S. dollar-based. So I think that's a positive around power contracts going forward, takes away the currency volatility we used to see when we originally had that smelter up and running. But it's purely a volume game, is the way I think about it. If you think about long-term cost base, where should it patient itself, it's probably very similar to what you've seen in Mozal historically, very similar kind of cost structure. And that's where it will be when they're at full production.
Lyndon Fagan : Another one from me is just some quick financials. So why aren't we seeing an impairment reversal at Worsley? Just putting that out there to discuss. The other one is basically the share buyback deployment of only $29 million, still got $170 million left. I mean it's a pretty slow run rate. What's holding that back?
Graham Kerr: Well, maybe I'll ask -- I'll answer the buyback one and then Sandy can talk about the impairments because that's a lot of accounting policy. Look, from my perspective, when we think about -- sorry, one second. On the buyback, if you think about that first half of the year, we've had a lot of periods where we've been talking to the state or federal government, and there has been a large pieces of blackout periods where there's been discussions ongoing around what's happening there. Likewise, with the Mozal civil unrest that we've sort of been working through that, we've had large periods of blackout periods, more than we would have had probably in the past.
Sandy Sibenaler: And just speaking to the Worsley impairment question there So under our accounting policy approach, impairment reversal trigger testing is done based on a sustained low commodity price. And on that basis, we don't have a trigger for an impairment reversal. And that's a consistent policy we've had for many periods.
Operator: Thank you. Your next question comes from Kaan Peker from RBC.
Kaan Peker : One on the balance sheet and maybe an extension of Lyndon's buyback question, but I mean prior, the priority was maintaining rate and keeping that net debt range of $0.5 billion to $1 billion. Is the plan to keep the balance sheet conservative over the next few years as investment in Hermosa ramps up?
Graham Kerr: Look, I'll get Sandy to answer specifics. What I would say is we have always sort of looked at our balance sheet in the context of the operating assets we own and also what our forward profile looks like, and we've given a range. Clearly, the sale of Illawarra sort of has an impact around sustaining capital levels, but we are spending more capital than we have in the past on growth, clearly around the first phase of Hermosa. But maybe, Sandy, you can talk about our position and how it's unchanged really, but...
Sandy Sibenaler: Yes, that's right. So the capital management framework is unchanged. We are looking to maintain our investment-grade credit rating in a sustained low. And we do believe in the principle of competition for capital. We have the remaining buyback of $171 million, and that is consistent with our approach of allocating excess capital. At this price point, we do consider the buyback our best value option for shareholder returns. You touched also on our net debt target range there. We've actually updated that it's about $0 to $500 million in the early stage of the [Taylor] capital program, naturally more conservative at this stage in the program, as we touched on there. We will continue to iterate that range over time, and that's really consistent as we have done in the past as well.
Kaan Peker : Sure. And on the buyback, as far as I understand, if that isn't complete, does that top-up the full year dividend?
Sandy Sibenaler: So we considered that at the time. So in the past, we've looked at it both as either a roll forward in an extension or we've considered as a special at the period end. That's something we consider over the capital management framework at the time.
Kaan Peker : Sure. And the second one on Worsley, can you remind us of the legacy alumina contracts to Hillside and Mozal? Obviously, it's to supply the equity share of feed. But do they reset? And what's the linkage to LME?
Graham Kerr: Look, the way I think about the sales, they are different to Hillside and Mozal. Hillside is purely at the index. Mozal has a number of legacy contracts that are sort of driven as a percentage of LME. So you'll see their cost profile will be a little bit different from Hillside, a little bit of difference in the power cost, but probably the biggest driver will be in how the actual Mozal contracts work. We can give you some more detail offline later, but essentially, there's a component which is a percentage of LME. And it has some colors and costs and timing around it.
Kaan Peker : Is there a reset? Or is just life of mine?
Graham Kerr: There is a reset opportunity that presents itself. That reset opportunity is about, I think, 2025. Yes, still checking.
Operator: Your next question comes from Paul McTaggart from Citigroup.
Paul McTaggart : Two questions. Firstly, with copper, it sounded like you were saying that you'd expect the U.S. [alley] price to reflect the premium, with Midwest premium to reflect the tariffs. Do you see the same playing out in copper in COMEX copper? Is that the kind of base case view? And the second question is really how much of that's working capital increase in the half, the $270-odd million? How much of an unwind should we expect or should we think about for the second?
Graham Kerr: Yes. So I'll get Sandy, you can take care of the working capital question, keeping in mind the last component that was in the aluminum value chain that she'll talk about. Look, the copper one is an interesting one because I don't think there's absolute clarity yet on what copper looks like. There is a lot of lobbying in the U.S. around copper around it being a strategic commodity, which is something the prior administration hadn't really engaged on. And that will have implications potentially on new project developments, but also existing operations there. And also, there is some policy on the Trump that's talking about investing in U.S. companies to explore and develop copper overseas in places of the DRC. One of the talks around tariffs that could be around 10%, but there will be exempt countries, exempt industries. I think only one person knows what that's going to be, Paul, at the moment. And that person, you'll probably read it on some form of social media before you hear it from the U.S. government. So we'll watch that with interest and see what it looks like. Our product, Sierra Gorda for us is marketed by KGHM. We get market price on that. I'd have to go back and look at the breakdown of which market it hits. But from memory, it's predominantly -- it's not into that U.S. market, but I can clarify for you, then will come back to you. Maybe on working capital, Sandy?
Sandy Sibenaler: Sure. So the working capital did increase over the period, as you know to $167 million, largely related to building finished goods and raw material inventory in the alley value chain. We do expect to see that unwinding through this half. We also finished the period with elevated receivables. And of course, they'll be received in the half.
Paul McTaggart : Did I think of all of it being unwound or half of it, Sandy?
Graham Kerr: Look, I mean obviously, depends a little bit on what happens with the input costs as well. So obviously, some of these things are dependent on a number of factors. So we have seen elevation in the input costs going in. So if they kind of normalize over the period, then I think you can expect to see the inventory being held coming down in value. So that's a factor. And of course, the rest has just go to balance on timing of shipments and then receipt of cash. So whilst -- we would anticipate it normalizing during the period, we don't put out a percentage, of course.
Operator: Your next question comes from Rob Stein from Macquarie.
Rob Stein : Just the Cerro Matoso capital allocation on any asset sale, how should we think about returns if and when you do sell that?
Graham Kerr: Sorry, maybe Cerro Matoso...
Rob Stein : Just on capital allocation around the returns from the sale proceeds. How should we think about that? Is that coming 100% back to shareholders?
Graham Kerr: Yes. Look, I think the way I think about any sale we have of an asset like we did with Illawarra, will go back into the center, will go back into the normal capital management framework. And if we have excess cash in line with our prior guidance around balance sheet strength and the net debt number we're looking for, then we'll apply the same capital management framework we have in the past. Keeping in mind in the second half of this year, unit cost guidance is down for the bulk of our operated assets. We've also got an unwind of working capital. We've also deferred some of the prepayments or early payments around Hermosa. So we expect to be generating strong cash flow in the second half of this year.
Rob Stein : And then just on, following the coal transaction, you had talked to corporate overhead simplification. Can you just give us an indication of how that's tracking, noting that there's probably a little bit of extra costs associated with Worsley and the process there? But can you just give us a feel for how the business is simpler following the divestment?
Graham Kerr: Yes. Look, the portfolio for South32 has changed over many years. If you think about our original composition, we had roughly 50% exposure to the bulk, which the majority of that was met coal and thermal coal. We don't own those two commodities at the moment. And along the way, we've adjusted our portfolio and our support structures to actually match that. The sale of Illawarra for us was opportunistic. It's not like we did like met coal. We just saw a good price and a good opportunity to sort of increase our exposure to what we think are the more attractive commodities long term, i.e., copper and zinc. And as you would expect, and I think we've spoken about publicly in the past, that sale is yet to be completed in terms of we've transferred it across that we're providing transitionary services around some of the functions or some of the functional support to the new owner as they set themselves up. When that's completed, we are expected to be in a position where we will obviously be better off from a cost perspective compared to when we own Illawarra. Keeping in mind, we also continue to look at our functional support about where it's located as more and more of the business grows in the Americas. But we will certainly be net-net, no worse off. And net-net, we expect to be a little bit better off.
Operator: Your next question comes from Glyn Lawcock from Barrenjoey.
Glyn Lawcock : Firstly, just one for Sandy. Sandy, you talked about the working capital unwind. I know it always builds and unwinds. But we're 6 weeks into the half, are you actually seeing it? Or is it still an expectation? I'm just trying to make sure it's actually happening and not going to be an expectation.
Sandy Sibenaler: Yes. Thanks for the question, Glyn. We have actually started to realize that benefit through into January already, just through January and into February.
Glyn Lawcock: Okay. So before you pay the dividend and start the buyback up again, then we're back at net cash now?
Sandy Sibenaler: We expect to be in a strong position to enter into those settlements, Glyn.
Glyn Lawcock : No worries. And Graham, just one for you on the strategy of the business now. I mean Illawarra sold, future facing, I know you were hoping to recycle the capital from Illawarra into Sierra Gorda, but your partner doesn't want to sell now. You probably didn't get the cash flow you expected out of operating cash, given commodity prices haven't done what we all thought. With the balance sheet where it is, it is conservative, but do you still feel the portfolio is right or you do need something extra in the portfolio, more future-facing?
Graham Kerr: Look, I'd say, look, the portfolio has always evolved and will continue to evolve, Glyn. We would like more exposure today from an operating perspective in zinc and copper. Probably like everyone else, we've been looking at those opportunities. We've looked to participate in some of the processes, and we haven't necessarily seen value for ourselves in that space, even though we have participated in some of those processes. So I think disciplined allocation of our capital management framework makes sense. Size doesn't make sense. It's going to be any kind of growth we do is overvalued. Logically, Sierra Gorda for us, we like the asset, we love the upside around the fourth grinding line, but also the resource potential growth that we see towards the north of the current existing operation is exciting. And obviously, we've got growth potential at Peake around copper as well. Look, KGHM has been a really good partner. We have no problems with that. We've been on the record to say we would like to own 100%. I'd say at the moment, that's not on their radar. They've been publicly clear about that, but it doesn't mean that the world doesn't shift. We like that asset, but we also like other copper assets if we can find the right pricing point. So we'd like to have one more operating copper and zinc asset and then probably another project close to execution in either of those two commodities, if that helps, Glyn. But I'm probably guessing like many other players out there, we would like something similar as well. The advantage, I guess, we have is we don't necessarily need the scale of some of the majors.
Operator: Your next question comes from Lachlan Shaw from UBS.
Lachlan Shaw : Just two for me. Firstly, just the aluminum market, obviously, spots come back a fair way. I'm just interested in what you're seeing there in terms of your read on China, but also your read on the bauxite market at Guinea and then I'll come back with my second question.
Graham Kerr: Yes. Look, I mean, I think a good one to sort of cover because clearly, alumina was on a bit of a tear for a period of time, and that was really driven by some production capacity issues in Australia. But obviously, another big one was some of the disputes that were occurring around Guinea and exports not sort of flowing to the Chinese market. What we are seeing now, if you look at the spot cargo availabilities in the short term, you have certainly seen an easing in that space. We have seen some of the uncertainties around exports in Guinea sort of start to come off a little bit. And as a consequence, you started to see some of the actual tightness in the market start to evaporate. We've also seen resumption of production from the [Gladstone] refineries. We're seeing some more raw material coming out of Indonesia as well. So from our expectations, we would see the market has shifted dramatically from where it was 6 to 12 months ago. And I would expect to see a little bit more downward pressure, if you like, on alumina pricing in the short term. So we would probably see -- if you think about the next 6 months, you're probably trading in a range of somewhere between $400 to $500 a tonne.
Lachlan Shaw : All right. And then maybe, just the other one. So I know you've got fairly defensible grounds for not giving us a bit of guidance on the aluminum costs. But I just wonder, obviously, this is where some growth is coming on a 1-, 2-year forward-looking basis in terms of volumes. The aluminum market is changing quite a lot in terms of the China caps in terms of tariffs in the U.S. And potentially, it can be a more important contributor to the business. What are the -- what can you do there to maybe help us understand the cost base a little more, perhaps sort of looking forward?
Graham Kerr: Yes. Look, good question. And as you know, we've sort of prided ourselves pretty much from day 1 on providing the level of transparency and detail, we certainly have provided in the past, and we can again, if you think about the composition of our operating costs. For example, if you take Hillside, 61% of our cost base in the first half of the year came from raw materials and consumables. And that's not -- and I'll come back to what that looks like in a second, but that's something clearly we don't have a huge amount of control over some of the pricing there. What I would say on top of the 61%, 27% of the cost base is energy. So if you add that up together for Hillside, you're looking at about 88% is driven by market pricing. If you sort of go to Mozal, Mozal has a very similar structure where 54% as raw materials and consumables, with the difference between the two being sort of structured around how the alumina pricing works at Mozal. It's a tied to percentage of LME, and their energy cost is around 30%. What we have also said, if you take a step back and sort of think about it, if you got roughly 80% to 88% of your costs sort of driven by some of those market consumables, what do they look like? And I think that's where it becomes more challenging because it does fluctuate a fair bit. So if we have a look at our historical performance in that space and talk about what it looks like, for example, if we look at a smelter raw material basket cost of inflation, so that includes your coke, your pitch, your ATF, your alumina as a percentage of LME aluminum, if you look at H1 FY '23, it was 43%, H2 was [44 23], H1 of FY '24 was 42, H2 of '24 is 43. First half of '25, it was 55%. And some of the big drivers in that, if you look, for example, at our caustic, our caustic in the first half of the year was trading about $430 a tonne, whereas in '24, it was $372. That's one of the big drivers when we look in those spaces. And the coke itself was $382 versus $458. So that's where we probably see a fair bit of the movement. And the other clear one is the alumina price, has been on quite a tear for a period of time. 50% of our product that we produce in the alumina space across our business goes into the smelters on average. I think it was 51% in this half. But on average, it's about 50%. So it's not the fact that we don't like giving that level of information. But if you want to pitch coke, caustic price and what, it's very hard for us to sort of go to that level of detail because it just moves in variables that we don't control. So again, as a rule of thumb, you think about a smelter, generally speaking, you'll probably see about 80% to 88% of your costs made up of power and made up of actually those raw materials. Things like your labor and the cost that you control is probably closer to 15%.
Operator: That does conclude our time for questions. I'll now hand back to Mr. Kerr for closing remarks.
Graham Kerr: Thanks, everyone. I appreciate you taking the time today to sort of go through some of those questions and where the business is at. I guess the message I'd leave you with is, look, one, our operations are performing well and have been over the last couple of halves. Our balance sheet is strong. We do expect stronger cash flow generation in the second half as we see an unwind of our working capital. Our growth pipeline, we have the ability to actually have significant growth in both zinc and copper. Our unchanged capital management framework, as always, is designed to reward shareholders as our financial performance improves. And I think our team have done a really good job over the last 6 months battling some of the headwinds around the GEMCO recovery, but also getting the approvals at Worsley. And we should see the benefits of those over the next 12 to 18 months. But thanks, everyone, for your time and look forward to seeing you on the road show.